Operator: Good morning, and welcome to the TrustCo Bank Corp Third Quarter 2017 Earnings Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] Before proceeding, we would like to mention that this presentation may contain forward-looking information about TrustCo Bank Corp New York that is intended to be covered by the Safe Harbor for forward-looking statements provided by the Private Securities Litigation Reform Act of 1995. Actual results and trends could differ materially from those set forth in such statements due to various risks, uncertainties and other factors. More detailed information about these and other risk factors can be found in our press release that preceded this call and in the Risk Factors and forward-looking statements section of our Annual Report on Form 10-K and as updated by our Quarterly Reports on Form 10-Q. The statements are valid only as of the date hereof and the Company disclaims any obligation to update this information except as maybe required by applicable law. Today's presentation contains non-GAAP financial measures. The reconciliations of such measures to the most comparable GAAP figures are included in our earnings press release, which is available under the Investor Relations tab of our website at trustcobank.com. Please also note, this event is being recorded. I would now like to turn the conference over to Mr. Robert J. McCormick, President and CEO. Please go ahead.
Robert McCormick: Thanks Kerry. Good morning, everyone. I am Rob McCormick, President of the Bank, Mike Ozimek, our CFO and Scot Salvador, our Chief Banking Officer will be presenting with me today. Kevin Timmons is with us to keep us on track. We are happy to report another solid quarter at TrustCo, up 15% in the third quarter. Our loan portfolio grew to $3.58 billion. This is up both quarter-to-quarter and year-over-year. We have about $234 million over 2016 quarter end, up $3.39 billion. As usual, most of the growth occurred in residential mortgages. Our commercial loan portfolio was up quarter-over-quarter, but down slightly over the same quarter in 2016. Home equity credit loans continued on the downward trend. We believe we are retaining a large portion of this in our mortgage portfolio through refinances. We are not big on installment loans and that portfolio stays relatively flat. We do see the current credit at line at runoff slowing and hope for some opportunity in the commercial loan area in the future. Quality loan portfolio continued to improve non-performing loans to total loans and total assets dropped to 0.69% and 0.56% both lower than the same quarter in 2016. Our allowance for total loans stood at a solid 1.23% with a coverage ratio of almost 180% and stable net charge-offs. Our deposits stayed pretty flat year-over-year. We are happy to see the growth in demand in interest-bearing checking in the lower end of the cost range also building customer relations. We did not open any branches during the quarter, but have several new opportunities in the pipeline. We continue to operate 144 full service offices. Thankfully we had very little impact from hurricane Irma. Our average deposit per branch continues to go up and in the quarter almost $29 million. As the release says, we are believers of strong, friendly branch network. We continue to have a large investment portfolio with relatively short maturities and a strong liquidity position. Most of you know, we operate a full service trust department with over $850 million under management. Our net income for the first nine months of 2017 was $35.8 million, up 12.5% from the $31.8 million in 2016. Our margin improved 17 basis points to 3.26. Our return on average assets and equity for the quarter were just over 1% and just over 11% respectively, better than the same three months last year. Our efficiency ratio of 52.8 also improved over 2016. The first nine months, the bank has been good. We look forward to closing 2017 strong. Now, Michael will detail the numbers. Scott will discuss loans, and then we’ll have time for questions. Mike?
Michael Ozimek: Thank you, Rob, and good morning everyone. I will now review TrustCo’s financial results for the third quarter of 2017. As we noted in the press release, net income increased to $12.6 million in the third quarter of 2017 or 15% compared to $10.9 million for the third quarter of 2016. Net income yielded a return on average assets and average equity of 1.02% and 11.06% compared to 0.90% and 10.05% in the third quarter of 2016. Let’s again start with the changes in the balance sheet. We continued strong loan growth during the third quarter of 2017, which is typically a strong season in all of our markets. As expected, the growth continues to be concentrated within our primary lending focus, the residential real estate portfolio. That portfolio increased by $76.8 million or 2.6% on average compared to the last quarter and $260 million or 7.7% from the third quarter of 2016. As noted before, this continues a positive shift in the balance sheet from lower yielding overnight investments to higher yielding core loan relationships. Total average investment securities, which include the AFS and HTM portfolios decreased $53.5 million during the quarter or 7.8% and $52.8 million or 7.7% from the third quarter of 2016. As discussed in prior calls, our focus continues to be on traditional lending and conservative balance sheet management, which has continued to enable us to produce consistent earnings. Regards to our investment portfolio, we will continue to take advantage of opportunities as they present themselves during the remainder of 2017 and beyond. Keeping in mind, the current environment that has seen rate hikes back in December 2016 and again in March and June of this year with the likelihood of more to come. As a result, we continue to carry $622 million of overnight investments. In addition, we expect a cash flow from the loan portfolio to generate between $400 million and $500 million over the next 12 months, along with approximately $140 million to $150 million of investment securities cash flow during the same time period, all of which would be able to be invested at higher rates. This continues to give us significant opportunity and flexibility as we start to close out 2017. During the quarter, we did have $25 million of securities called or matured at a yield of approximately 3.8%. This is offset by purchases of $10 million of agency securities. On the funding side of the balance sheet, total average core deposits increased $89.8 million from the third quarter of 2016. During the same period, our cost of interest-bearing deposits increased 3 basis points to 34 basis points. We continued to be proud of the ability to produce the cost of interest-bearing deposits during a period which saw multiple rate hikes. We feel this continues to reflect our pricing discipline with respect to CDs and non-maturity deposits. Our net interest margin increased to 3.26% from 3.09% compared to the third quarter of 2016. This increase in the net interest income comes from both the asset side of the balance sheet as a result of the continued growth in the loan portfolio, the Fed rate hikes as mentioned before and the continued decrease in funding cost over the past four quarters. The impact to the growth of the balance sheet coupled with the changes in net interest margin have had a positive impact on taxable equivalent net interest income. For the third quarter of the year, our taxable equivalent net interest income was $39.2 million or approximately $2.5 million greater than it was in the third quarter of last year. That is a sizeable increase on a quarter-to-quarter basis and represents a core increase in earnings for the future. The provision for loan losses remains steady at 550,000 compared to last quarter and decreased 200,000 compared to the third quarter of 2016. The ratio of loan loss to total loans was 1.23% as of September 30, 2017 compared to 1.3% at September 30, 2016, and reflects the improvement in asset quality and economic conditions in our lending areas. Scott will get into the details, however we would expect the level of provision for loan losses in 2017 will continue to reflect the overall growth on our loan portfolio, trends in loan quality and economic conditions in our geographic footprint. Non-interest income came in at $4.9 million for the third quarter of 2017, an increase of $350,000 compared to $4.5 million last quarter. The increase over the second quarter of 2017 was related to the fees earned on several large states settled by the financial services division during the third quarter of 2017. Our financial services division continues to be the most significant reoccurring source of non-interest income. The financial services division had approximately $876 million of assets under management as of September 30, 2017. Now onto the non-interest expense. Total non-interest expense, net of ORE expense came in at $23.3 million, up approximately $300,000 from the second quarter of 2017. This expected increase noted in the last quarter's call came in on target. The primary increase in non-interest expense during the third quarter of 2017 was in salaries and benefits expense, which was $10.4 million for the third quarter of 2017, up $800,000 compared to last quarter. Approximately, $500,000 of the increase over the second quarter of 2017 was related to the company’s equity incentive plan. Another highlight for the third quarter – for the second quarter in a row was ORE expense. This line beat our expectations and came in at approximately $275,000 for the quarter, which is up $280,000 from the second quarter of 2017. This is a result of expenses within our expected range and solid gains on the sale of ORE property. This continues to be encouraging sign of the stabilization of the housing markets in our territories given the mix of ORE expenses and the current level of gains on sales in ORE properties we are experiencing, we are going to hold our guidance to the range of approximately $400,000 to $900,000 per quarter. All of the other categories of non-interest expense are in line with prior quarters in our expectations. As we close out 2017 and enter 2018, we would expect total reoccurring non-interest expense, net of ORE expense to return to the level seen earlier in the year which is a slight increase to the range to $23.2 million to $23.7 million per quarter. Efficiency ratio in the third quarter of 2017 came in at 52.79%, compared to 54.11% in the third quarter of 2016. As we've stated in the past, we will continue to focus on what we can control by working to identify opportunities to make the processes within the bank more efficient. And finally, the capital ratios continued to improve. The consolidated tangible equity to tangible assets ratio was 9.33% at the end of the third quarter, up from the 9.04% compared to the same period in 2016. Now Scott will review the loan portfolio and nonperforming loans.
Scot Salvador: Okay Mike, thanks. The bank continued to experience solid loan growth for the third quarter. Overall, total loans increased $70 million or 2%. Year-over-year, the increase has totaled $191 million or 5.6%. Residential mortgages grew by $66 million on the quarter with commercial loans increasing by $4 million. Residential mortgage growth occurred in all our market areas. Our Greater New York market accounted for approximately 58% of the net increase with the rest occurring in Florida. We have seen solid purchase money in overall loan activities throughout the summer and early fall months and are pleased with the performance results year-to-date. Through nine months, the net growth in our residential portfolio was up approximately 30% over the last year. Good loan activity, combined with a slower refinance market have contributed to this increase. We began the fourth quarter with a strong loan backlog. It is roughly equivalent to where we ended the last quarter and up over 20% from the same point last year. Loan production typically slows in the fourth quarter due to seasonal factors. Despite this, we are optimistic about posing solid growth in the upcoming quarter. Rates have remained in the high 3% range over the last couple of months and we are currently at 3.99% for a 30 year mortgage. Nonperforming loans remained relatively flat since the end of the second quarter and are down $1.5 million year-over-year. Currently, nonperforming loans are equal to 0.69% of total loans or $24.6 million. nonperforming assets stand at $27.5 million, down $3.3 million year-over-year. Our loan allowance stands at 1.23% of total loans as of September 30. This compares to an annualized net charge-off ratio of 0.07% for the third quarter. Early-stage delinquencies in the portfolio continue to remain strong. Rob?
Robert McCormick: Thanks Scott. We're happy to answer any questions you have.
Operator: [Operator Instructions] Our first question comes from Alex Twerdahl with Sandler O'Neill. Please go ahead.
Alex Twerdahl : Hey, good morning guys.
Robert McCormick: Good morning, Alex.
Mike Ozimek: Good morning, Alex.
Alex Twerdahl : First question. I am just wondering, as I look at the expenses and the expense guidance, if it’s possible to quantify, I know you’ve been kind of running a little bit heavy over the last couple of years due to the regulatory agreement which hopefully were on the way working out of, but when that’s lifted, is there any way to quantify what expenses could potentially go away? 
Robert McCormick: I mean, the biggest piece of that Alex, that we still see is in the consulting side. And what we do see is, it’s a little choppy now. The reality is, we’ve hired a lot of the people to kind of do the work in-house. But you do see, if there is anything there is quarter-to-quarter, there could be a few $100,000 each quarter that kind of go in there, so. But there isn’t much left.
Alex Twerdahl : Okay. And then, just looking at deposits, as deposits declined a little bit sequentially, I am just wondering if you think that could be potentially correlated to the fact that you guys really haven’t raised rates at all, if people are coming in and looking for higher deposit rates and going somewhere else or after seeing any sort of pressure, anything in the upstate New York market or in the Florida market with respect to deposit cost, because clearly you’ve been able to keep the actual rates very low as we’ve had four rate hikes. 
Robert McCormick: And we felt that it was more important to keep the rates low, Alex and maintain our margins rather than chase some of the CD money that’s been out there. We’ve been very encouraged by our growth in core, which is really what we are looking to do. We are looking to build customers in long-term. We think that will benefit the shareholders more than chasing the CDs or the hotter monies. So, we come in out of that market as we need to, Alex, kind of maintain customer relationships. We are trying to tie accounts together and things like that, so. But we are not looking to book a lot of hot money. 
Alex Twerdahl : Okay. And then, I think you alluded to some several – or to several large estates that were settled in the third quarter that elevated the TrustCo’s financial services line. Can you quantify what that was? Is it about maybe around $400,000? Does that…
Robert McCormick: That’s about it. It’s a little inside of that. But that’s – that, you are right on target. 
Alex Twerdahl : Okay. And then, just as I think about the tax rate came down a little bit in the third quarter, is that due to some of the equity incentive stuff, because, big addition in the third quarter, is that going to go back to 37.5 in the fourth quarter?
Robert McCormick: Well, you hit the first part. It’s the equity incentives, but it was on exercises. So it’s the benefit that we record on that.
Alex Twerdahl : Okay. So, going back to 37.5, is a decent rate to use for the fourth quarter do you think?
Robert McCormick: Yes, unless we have any other discrete items, but yes, that’s where we should be.
Alex Twerdahl : Okay, great. Thanks for taking my questions guys.
Robert McCormick: Thanks, Alex.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Robert J. McCormick for any closing remarks.
Robert McCormick: As always, thank you for your interest in our company. We hope to talk to you in January and have a good day, thanks.